Operator: Good day and thank you for standing by. Welcome to the WM Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Ed Egl, Senior Director of Investor Relations.
Edward A. Egl: Thank you, Josh. Good morning everyone and thank you for joining us for our Fourth Quarter and Full Year 2023 Earnings Conference Call. With me this morning are Jim Fish, President and Chief Executive Officer; John Morris, Executive Vice President and Chief Operating Officer; and Devina Rankin, Executive Vice President and Chief Financial Officer. You'll hear prepared comments from each of them today. Jim, will cover high-level financials and provide a strategic update. John, will cover an operating overview, and Devina will cover the details of the financials and our 2024 outlook. Before we get started, please note that we have filed a Form 8-K that includes the earnings press release and is available on our website at www.wm.com. The Form 8-K, the press release and the schedules of the press release include important information. During the call, we will hear forward-looking statements which are based on current expectations, projections or opinions about future periods. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. Some of these risks and uncertainties are discussed in today's press release and our filings with the SEC including our most recent Form 10-K. John, will discuss our results in the areas of yield and volume, which unless stated otherwise are more specifically references to internal revenue growth or IRG from yield or volume. During the call, Jim, John and Devina will discuss operating EBITDA, which is income from operations before depreciation and amortization. Any comparisons unless otherwise stated will be with the prior year period. Net income, EPS, income from operations and margin, operating EBITDA and margin, SG&A expense and prior period operating expense results have been adjusted to enhance comparability by excluding certain items that management believes do not reflect our fundamental business performance or results of operations. These adjusted measures, in addition to free cash flow, are non-GAAP measures. Please refer to our earnings press release and tables, which can be found on the company's website at www.wm.com for reconciliations to the most comparable GAAP measures and additional information about our use of non-GAAP measures and non-GAAP projections. This call is being recorded and will be available 24 hours a day beginning approximately 1:00 PM Eastern Time today. To hear a replay of the call, access the WM website at www.investors.wm.com. Time-sensitive information provided during today's call, which is occurring on February 13, 2024, may no longer be accurate at the time of a replay. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of WM is prohibited. Now I'll turn the call over to WM's President and CEO, Jim Fish.
James C. Fish: All right. Thanks, Ed, and thank you all for joining us. The WM team delivered a remarkably strong finish to 2023 driving fourth operating EBITDA 15% higher. This accelerated earnings growth led to full-year operating EBITDA that exceeded the high-end of our most recent guidance range by nearly $25 million and achieved the midpoint of our original expectations from the beginning of the year. Our strong financial results for both the quarter and the year were powered by our collection and disposal business. This performance starts with disciplined organic revenue growth that exceeded our expectations. And once again, our success in managing the middle of the P&L really stands out in our results, as our teams continue to make progress in optimizing our cost structure with the help of technology and automation. When you combine our revenue performance with the improvement in operating costs, we saw widening of our price-to-cost spread and increased profitability. Operating EBITDA margin reached a record 29.9% in the fourth quarter and full-year margin expanded 90 basis points 28.9%. As 2024 kicks-off, we're confident that our continued focus on optimizing our cost structure and executing on sustainability growth projects sets us up for another year of outsized growth. We anticipate operating EBITDA growth of 7.7% at the midpoint of our guidance, which translates to more than $450 million of which $115 million comes directly from our sustainability growth investments. We remain excited about the economic and environmental benefits of expanding our renewable natural gas and recycling platforms. Our execution is tracking well and we expect to commission five new renewable natural gas facilities by the end of the year reaching 30% of our run rate renewable natural gas volume growth. We're also on-track to complete automation upgrades at 10 recycling facilities and add three recycling facilities in new markets in 2024. Turning to capital allocation, you'll hear from Devina, on this topic in more detail, but I want to stress our confidence and our ability to continue to allocate capital to all of our priorities. This includes investing in our high-return sustainability growth projects, acquiring accretive businesses and returning cash to shareholders through dividends and share repurchases. Our tuck-in acquisition pipeline is robust, and there are some indications that 2024 could have heightened activity in this regard. We're committed to a disciplined approach to acquiring companies ensuring that any deals we pursue yield appropriate returns particularly given the high-returns in sustainability opportunities. In closing, I want to thank the entire WM team for another great year. We were just at the WM Phoenix Open last week and I've said before, we work hard for this event to create a representation of the bigger company with a central focus on people and the environment. We've been the title sponsor for 15 years now and the tournament's been recognized as the largest zero waste sporting event in the world for 12 years running. It makes me proud to see the WM team out there making waste diversion operations run smoothly and demonstrating our sustainability leadership so well. I look forward to working with this great team in 2024 as we continue to drive growth by executing our operating plans and progressing our investments in technology, automation and sustainability. I'll now turn the call over to John, to discuss our operational results.
John J. Morris: Thanks, Jim, and good morning. We're more than pleased with the strong operational performance our team achieved in 2023 showing continuous improvement throughout the year with standout results in the fourth quarter. During this period, operating expenses as a percentage of revenue improved 240 basis points year-over-year landing at 60.3% and marking our second best quarterly performance ever. This improvement was primarily fueled by our collection and disposal business benefiting from the robust operating leverage of our strategic cost optimization. Our proactive measures to accelerate and improve cost efficiency included leveraging technology to manage labor, managing repair and maintenance costs and optimizing our overall cost structure. These initiatives led to a substantial improvement in WM's cost to serve metrics, bringing estimated unit cost inflation to low-single-digits by the fourth quarter. When combined with solid results from our pricing initiatives, we greatly enhanced overall margins. Our strong second half performance translated into full-year operating expenses as a percentage of revenue of 61.7%, an improvement of 70 basis points. That momentum has carried into 2024 and is evident in our January results even as we face severe weather in some areas we serve. Two of the key cost categories driving our operating improvements are labor and repair and maintenance. On the labor front, this begins with our persistent focus on reducing turnover. In the fourth quarter, we achieved a noteworthy milestone as driver turnover reaches lowest point at 18.4%, showing improvement as the year progressed. Additionally, our strategic automation initiatives are yielding positive results in collection efficiency with all three lines of business improving meaningfully in the fourth quarter compared to last year. The results of our technology and automation investments gained traction in the latter part of 2023, leading to significant strides in labor cost management. We expect this to continue into 2024 as we broaden the deployment of our tools across additional sites. Turning to repair and maintenance, with a full lot of trucks received in 2023, we successfully removed over a 1,000 excess assets from our operation, improve the age of our routed fleet and reduce truck rental utilization by nearly 60% since the beginning of 2023. Throughout 2023, our emphasis remained on streamlining maintenance processes, which has resulted in enhanced technician productivity, reduced overtime expenses and diminished reliance on external repair services. This is paid off in the form of lower repair and maintenance costs in both dollars and as a percentage of revenue compared to 2022. We accomplished all this with an unwavering commitment to safety and by enhancing the quality of our fleet. We're proud of the strides we made throughout 2023 and look forward to sustained progress. Another core element of the equation that fueled our strong financial results is disciplined organic revenue growth. Growth from price and volume in the collection and disposal business totaled 6.3% for the year, which outpaced our expectations. Our pricing programs continue to be focused on striking the right balance between maximizing customer lifetime value and increasing price to recover higher costs. Our full-year churn rates remain at the lower-end of historical range at about 9% and the year-over-year improvement underscores our consistent delivery of quality service to our customers. Looking ahead to 2024, we anticipate sustained momentum in our disciplined pricing programs to result in core price between 6% and 6.5% and yield approaching 5%. We remain committed to maximizing customer lifetime value up while securing pricing that exceeds our cost inflation. We've seen that spread improve as 2023 progressed and we are confident that our teams are poised to deliver another successful year ahead. Turning to volumes, our fourth quarter collection and disposal volume grew by 1.9% on a workday adjusted basis. Growth was primarily driven by MSW landfill and commercial collection, two bellwethers for demand of our services. Overall growth in landfill volumes was somewhat muted due to the elevated volumes from the Hurricane Ian clean up in 2022. Some of the recent quarters, residential collection volumes declined modestly due to our intentional shedding of low margin contracts as we work to ensure that we achieved acceptable returns for all parts of our business. You can see the benefits of this focus because while our residential collection volumes declined, total revenue and earnings in this line of business both improved. This is a winning equation and we'll continue to execute on the strategy in the year ahead. Organic revenue growth in all collection lines of business remains as positive and operating EBITDA continues to grow. In the fourth quarter, new business grew and net services increases remain firmly positive reflecting our quality of service and focused differentiation. Looking ahead to 2024, our guidance anticipates collection and disposal volume approaching 1%, mirroring the performance achieved in 2023. And finally, I want to convey my appreciation to our frontline teams for their unwavering commitment to delivering safe and reliable service to our customers and communities on a daily basis. It's their efforts that made 2023 successful and laid the groundwork for growth in the years ahead. I will now turn the call over to Devina, to discuss our 2023 financial results and 2024 financial outlook in greater detail.
Devina A. Rankin: Thanks, John, and good morning. Cost optimization was a significant theme in the fourth quarter and throughout 2023. Our team was pleased that our collective focus delivered WM's best ever full-year SG&A as a percentage of revenue of 9.4%. The 20 basis point improvement from prior year was realized through investments in customer facing technology, leveraging enhanced back office systems to become more efficient and a continuous focus on optimizing our spend. We're pleased with the progress made to improve this measure, while at the same time investing in our talent, customer engagement channels and technology capabilities. SG&A optimization delivered 20 basis points of our 90 basis point expansion and adjusted operating EBITDA margin in 2023. The remaining 70 basis points was from the collection and disposal business, which benefited from a combination of fuel price impacts and operating efficiencies. We gained meaningful traction in optimizing labor efficiency and repair and maintenance costs in our collection disposal business in the back half of the year, lifting our full-year adjusted operating EBITDA margin to 28.9%. This result is 30 basis points ahead of the high-end of our expectations and positions us to continue to deliver margin expansion in the year ahead. Our operating performance translated into robust cash flow in 2023. Our full-year cash flow from operations grew to $4.719 billion and our free cash flow before sustainability growth investments was nearly $2.7 billion. Each of these cash flow measures finished the year near the high-end of our initial guidance range. This result demonstrates our strong earnings growth, effective management of interest and taxes and optimizing cash conversion and our disciplined capital expenditure management processes. During 2023, we returned $2.44 billion to shareholders, paying $1.14 billion in dividends and repurchasing $1.3 billion of our stock. In addition, we spent $173 million on traditional solid waste and recycling acquisitions to grow our business. We accomplished all of this while accelerating our sustainability growth investments for future growth and development and maintaining our targeted leverage ratio of about 2.75 times. Our balance sheet remains strong and our earnings and cash flow growth are robust, positioning us to continue our commitment to shareholder returns and long-term growth. Moving to our 2024 financial outlook, we're anticipating total company revenue growth between 6% and 7%, driven by organic growth in the collection and disposal business approaching 6%. Operating EBITDA is expected to grow by $450 million at the midpoint of our outlook. When we think about the cadence of our growth over the course of the year, we're expecting collection and disposal growth to be weighted more to the front half of the year, given the momentum we've gained from strong operating efficiencies in back half of 2023. And we're expecting sustainability business growth to be more significantly weighted to the back half of the year as our new recycling and renewable natural gas projects come online. Altogether, we expect this to result in a relatively balanced operating EBITDA growth over the course of the year. We expect capital spending to support the business for the year to total $2.25 billion of midpoint and we expect to invest another $875 million on our high-return sustainability growth projects. Free cash flow before these sustainability investments is anticipated to grow almost 7% at the midpoint to $2.85 billion. We remain committed to investing in an industry leading network of renewable energy and recycling assets, including renewable natural gas projects through recycling automation and new markets and advancements in resource recovery. Our sustainability growth investment strategy is progressing well. So, as you would expect, there have been a number of refinements to the plan since its inception. We've worked our way through customary changes to project schedules and impacts from inflation, all the while delivering completed projects that meet and sometimes exceed the environmental and economic objectives we planned. These successes have positioned us to grow the sustainability project pipeline. In particular, our refreshed outlook includes two new recycling projects in Canada that WM has awarded through a competitive process. We now expect growth investments across our recycling and renewable energy platforms to total between $2.8 billion and $2.9 billion from 2022 through 2026. We expect these projects to contribute run rate adjusted operating EBITDA of about $800 million by the end of 2026. This outlook utilizes the same pricing assumptions we've used consistently, a $125 per ton for recycled commodities and $26 per MMBtu for renewable natural gas. We have a great deal of confidence in the value of the projects that are underway and we're enthusiastic about the strong complement they provide to our existing business. In conclusion, 2023 has clearly illustrated that we are driving growth through our diligent focus on optimizing our business, investing in technology and automation, and growing our leadership and sustainability. We take pride in our accomplishments and look forward to what we can achieve together in 2024. A heartfelt thank you to our dedicated team members who have been instrumental to our success. With that, Josh, let's open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Noah Kaye with Oppenheimer. You may proceed.
Noah Kaye: Good morning. Thanks for taking the questions. First one maybe for, John. You talked in some good details about some of the cost optimization and productivity efforts and the gains they got this year. Can you step back and kind of remind us and perhaps, Jim, as well where we are at in kind of the broader march towards automation and productivity investments and some of the key KPIs that we should be thinking about in terms of progress for 2024?
John J. Morris: Yes. Noah, good morning. It's a good question. Originally, we started talking about just in terms of the elimination of some labor dependency in the 5,000 to 7,000 job range. And it was across a handful of pretty broad areas. One, was the customer experience group. One, was through our routing, which would reduce our dependency on kind of frontline driver labor and obviously then recycling a little bit on SG&A. And what I would tell you is, you think about this way, we're about 75% through what we had planned for the customer experience side on the resi automation and this has as much truck deliveries, which did improve in 2023, we’re about 40% of the way through there. On the recycling side, as Jim mentioned in his remarks, we've got a number of plants are going to be automated this year, kind of Jim, can comment more on that, we're about 20% of the way through there. So, I would tell you we're making great progress. I think it showed up obviously across the board in our margins and specifically in labor in Q4 and as the year progressed, but we still got plenty of opportunity out there. We feel like we're on a good pace.
Noah Kaye: Very helpful. Just trying to think about cadence on EBITDA margins for the year. I know we have the typical seasonality and it sounds like the front half of the year, the growth is really a story of kind of the collection and disposal side. But Devina, are there any sort of guide post you can give us in terms of thinking about margin cadence, either for the first quarter or for the first half?
Devina A. Rankin: Yes, I think it's a great question, Noah. And similar to what we talked about in terms of the EBITDA dollar growth, the cadence, sorry, for margin is pretty similar. We expect margin expansion to be more heavily weighted towards the front half of the year particularly in the collection and disposal business, the SG&A margin expansion will be fairly even over 2024. But then with regard to the sustainability businesses, the commodity price benefits that we expect to see in 2024 aren't quite significant, right. They're pretty muted on a year-over-year basis. But as a reminder, commodity price expansion in the recycling line of business can have some margin compression because of the really high return on invested capital part of our brokerage business. And, on the renewable natural gas part of the business, we expect margin expansion there too because those are such great margin projects, but those will be heavily weighted toward the back half. So, from a margin perspective, while the collection and disposal business is definitely the thing that delivered in Q4, we do expect that to be the thing that lifts margin most significantly in the year ahead and that will be weighted toward the first half of the year.
Noah Kaye: Great. Kind of a lot of other questions to take offline, but I'll yield my time in consideration of others.
Operator: Thank you. One moment for questions. Our next question comes from Bryan Burgmeier with Citi. You may proceed.
Bryan Burgmeier: Good morning, and thank you for taking the question. Guidance seems to imply collection and disposal yields growth that you saw in 4Q 2023 will be essentially flat throughout ‘24 kind of around 5%. So, can you just help us kind of understand that, that pricing strength, it was a bit better than what we are forecasting, is it about better restricted pricing starting to flow through, would you attribute that to maybe mix, underlying strength in the market? Just anything you'd kind of call out, on that really sticky pricing that it looks like we're going to see in ‘24?
James C. Fish: Yes, Bryan, a couple of standouts really were continues to be residential pricing and disposal pricing, those actually showed increases year-over-year. Not surprisingly, the other collection lines of business were down, but that wasn't unexpected. As we move into ‘24, we think that kind of 4.5% to 5% yield number is a good target for us. And pricing continues to be a strength. We said at the beginning of ‘23 that our focus areas for the year would be pricing and then the cost controls that, John, went through. So, pricing is going to continue to at least add a little bit of margin for us. We think as opposed to ‘22 where we I've said several times we kind of felt like we were in hand-to-hand combat with our cost structure.
Bryan Burgmeier: Got it. Thanks for that detail. Yes, last question for me and then I can turn it over. I know in 2023, there was a small decline in the event driven business that kind of prompted a guidance revision mid-year. I'm just wondering does ‘24 guidance assume that comes back? And then if there's anything else you'd like to flag on the event driven book that would be helpful? I'll turn it over. Thank you.
Devina A. Rankin: Yes, it's a great question. And your recollection of our outlook revision mid-year is spot on with regard to some of the softness we were seeing in the special waste part of the business. And, we saw a strong recovery of that in the fourth quarter, which is one of the reasons that we saw revenue exceed our expectations late in the year. We're not necessarily expecting a rebound of special waste volumes in the year ahead, but we are expecting some of this momentum that we saw in Q4 to carry over, but nothing outsized. The one thing that I would call out as a reminder with regard to some of the special project type work is 2023 did have a benefit from Hurricane Ian volumes particularly in the first quarter, and so that certainly will have an impact on the Q1 comparisons in 2024.
Operator: Thank you. One moment for questions. Our next question comes from Jerry Revich with Goldman Sachs. You may proceed.
Jerry Revich: Yes. Hi. Good morning, everyone.
Devina A. Rankin: Good morning.
Jerry Revich: Devina, I wonder if you could just talk about margins, really outstanding performance by the team in the fourth quarter, if we were to just run the seasonally adjusted annual rate, that's about over 30% margin equivalent that you folks put up in the fourth quarter, the full-year guidance for ‘24 is about a point lower than that. It sounds like yield is still very much at a good place. So, I'm just trying to make sure that there are no items that you would view as one-off in the fourth quarter versus, hey, it's early in the year and we just want to make sure we have room to execute?
Devina A. Rankin: I definitely think the way that you summarized it there on the last part of your comment is the way that we're thinking about this, in particular when we were setting our margin expectations for the year ahead, the momentum that we have in the fourth quarter shows that we have tremendous confidence in having the cost improvement work that we've been so focused on as an organization through automation technology, and importantly, the delivery of trucks as something that we can continue to see benefits from in the year ahead. The caution for us, I would say that may have us below that seasonally adjusted margin outlook that you've done. It really relates to a couple of things. It's one, some of the weather impacts that we saw in January. Two, last year when we gave inflation outlook, we tended to see that inflation was sticking around and being more stubborn than we had predicted and so we're taking a more cautious view on inflationary pressures in the year ahead than we did a year ago. But really what I want to highlight is that, there's tremendous confidence in the fundamentals. The price cost spread has improved. The accelerated truck deliveries and our optimization efforts and the discipline in SG&A are all showing strong results. I think the best line to look at is actually our repair and maintenance line and the operating expense as a percentage of revenue category. And, over the long-term that had trended below 9% of revenue for us and through the first nine months of 2023, we were at 9.9%. That measure was down to 9.1% in Q4. So, we know that we've got some really strong momentum coming into the year ahead that will continue those cost benefits that you saw us produce in the fourth quarter. Into 2024, we just think that it's prudent to be on the conservative side when predicting full-year margin.
James C. Fish: So, Jerry, real quickly, we did kind of anticipate that there will be some questions on margin. And so, just a couple of things here. First of all, the margin obviously for Q4 was as strong as we could have expected it and to be and that has continued as we look at the month of January. January came in quite strong for us, so we're pleased with that. The second point would be around some of the questions that you're asking around conservatism on margin for ‘24 and Devina did a really good job of explaining that. I think it's really just I guess you could argue that it's conservative based on 90 basis points of improvement from 2022 to 2023. But there seems to be an uncertain year in front of us every time we come to this point. We don't know exactly what the economy is going to do. Some days I feel great about the economy, other day is not so great. So, you could argue there's a little bit of economic conservatism in there and also a little bit of forecasting conservatism coming off such a strong year that you want to try and say we're going to do the same thing going forward into ‘24. But we do feel really good about the way we finished the year and honestly the way we've started the year so far through January.
Jerry Revich: Really appreciate the color. And Jim, can I ask you just on a separate topic, landfill gas transactions are coming in at really attractive levels? The Enbridge transaction was $2.70 per MMBtu. It's costing you folks $50 per MMBtu to bring your assets online. So, just given how apparently deep the market is for those type of assets, can you just update us on how are you thinking about what it would take for you to consider monetizing some of the landfill gas assets when you bring them online? Has the attractive market price impacted how you're thinking about the own versus sell opportunity?
James C. Fish: So, I'm going I'll say one word on that and then I'm going to turn it over to Tara Hemmer to maybe give a little bit more color. But, that's always an option for us. And we have multiple options and it's good to be in a place where you have multiple options. But at this point, we're pleased with the progress we're making on building these plants. We have a number of plants that are at various stages of construction. Tara, anything to add to that?
Tara J. Hemmer: I would just say this aligns really well with our business and we're making great progress on building out these plans. The five that we're going to bring online in 2024, we're going to have strong contribution from them exiting 2024 and this is going to be something we're going to continue to grow.
Jerry Revich: Appreciate the discussion. Thank you.
Operator: Thank you. One moment for questions. Our next question comes from Tyler Brown with Raymond James. You may proceed.
Tyler Brown: Hey, good morning.
Devina A. Rankin: Good morning.
Tyler Brown: Hey, Tara, actually, I want to come back to the updated sustainability CapEx figures of $2.8 billion to $2.9 billion. So, I may have missed it, but if I'm not mistaken that number was closer to $2.2 billion back at the Analyst Day. Now, I get that there are $350 million in incremental recycling opportunities, but what makes up the difference, call it that $300 million. Was that just inflation?
Tara J. Hemmer: Yes, the difference really is related to inflation, primarily in our renewable natural gas build and relates to inflation related supply chain, also a little bit on construction increases and interconnects. So, that is the difference.
Tyler Brown: Okay, perfect. That's helpful. That's very helpful. And then, Devina, thank you so much for the WM renewables segment reporting. But, I do just want to make sure that I understand it all. So, I get the impact in revenues from the change in the price of the commodities that are impacting that WM renewables and recycling line, but if you look at the change in that line versus the change in the net revenue for those, they don't exactly line up. So, it tells me that there's likely some volume component in there. So just to be clear, maybe this would be helpful, but when you bring on a facility like Eco Vista, where does that show up? Does that show up as basically volume in your IRG calc, or can you just help us with how the accounting will work?
Devina A. Rankin: Sure. And Ed and Heather will be happy to walk you through any details I don't cover here. But, I'm glad, one, that the additional clarity is beneficial. The other that I would say is that on the IRG measures that we do, the internal revenue growth measures that we do, you'll see commodity price impact in a single line, which is recycling processes and renewable energy, so that's all price. And then you'll see the incremental volume from new projects, whether it be automation projects that have more throughput at the plant or the new Eco Vista plant that will be in the volume line. In terms of the segment reporting line, the only thing that might be a little bit of a complicating factor is the internal revenue between the renewables business and the collection and disposal business, you can think of it as the renewables business paying a royalty to the collection and disposal business associated with the landfill gas production that doesn't show up in the revenue line, because it's effectively just a cost for the renewables business. Hopefully that's helpful.
Tyler Brown: Okay. Yes, I definitely think so. We'll parse it out. But I think you mentioned the collection and disposal volume could be up maybe 1%. But again kind of going back to that total IRG table, could we actually see that number closer to 2%? Because I would assume that with $115 million of incremental renewables EBITDA, there's probably at least a couple of $100 million of revenue associated with that, does that make sense?
Devina A. Rankin: So, the way to think about this is that when we gave that volume outlook that was just the collection and disposal volume. The renewable energy business increases. We have on a combined basis being in the range of 30 basis points to 60 basis points in the year ahead. And, that's a combination of commodity price impacts and volume.
Tyler Brown: Excellent. Okay. Last one here, Devina. So, margins were super strong. We've talked about that. I think they're up 230 basis points year-over-year in Q4. But can you kind of help us bridge that 230? I think there was a fewer day, maybe fuel was a help, maybe commodities help, just any color there would be appreciated. Thanks.
Devina A. Rankin: Yes, for Q4 specifically, again, the collection and disposal business and the efficiency that we drove was the lion's share of that improvement at 220 basis points. Fuel was another 50 basis points. So, that really does explain almost the entirety of it. There are a few other puts and takes, but I would say that my comments earlier about repair and maintenance and then John's comments about the labor line, those are the two places that are driving that 220 basis points of margin expansion.
James C. Fish: I think Tyler, a little bit of an add on here is that I've been told we don't pat ourselves on the back enough, so I'm going to pat ourselves on the back a little bit here. When we started talking about some aspirational metrics, meaning margin, EBITDA margin, SG&A as percent of revenue, OpEx as percent a couple of years ago and then talking about technology and using attrition to reduce our labor dependence. Those numbers were pretty far out on the horizon. And, now in every case those numbers are literally a stone's throw away for us. Whether you talk about 30% EBITDA margin, we're right there for the fourth quarter, SG&A at 9%, we're very close to that and OpEx at 60%, very close to that. So, I'm really proud of the team for executing so well on this and being able to stand up on this call today and last quarter as well and say those things that we put out there, those goals that we set, we're getting close to achieving those. That means we're satisfied. We'll continue to set higher goals, but I'm pleased with the fact that we've been able to get to those goals that were pretty far in the out on the horizon we initially set them.
Tyler Brown: Yes. No, love it. Appreciate it so much. Thank you for the time.
James C. Fish: You bet.
Operator: Thank you. One moment for questions. Our next question comes from Michael Hoffman with Stifel. You may proceed.
Michael Hoffman: Hey, gang. Thanks for the questions. Back to the margin question, John, it seems like looking at this on a two-year stack helps because you can't perfectly time when you get some of your self-help. And that sort of accounts for really strong ‘23, a little more muted ‘24, but the two-year stack is sort of 60 basis points a year. So, where the question underlying that is, recycling is an incremental tailwind because you've got a pretty low estimate there relative to how you finished the year on the basket. GDP, I'm assuming you think it's maybe 1%, 1.5% and the trend is stronger than that. So, that's a tailwind. And then I think your wage growth is probably running closer to 3.5%, 4%, therefore, there's clear spread on price cost. Am I looking at that correctly?
John J. Morris: I'll start, Devina. I think on the cost spread comment to you, Michael, I think that's what we've been talking about for the last couple of quarters whether you look at core price or our yield numbers. We've been talking about being disciplined in the way we approach pricing and over time in the last couple of quarters, we've been a great example that we've been able to really drive out, drive some operating efficiencies and drive out some of the labor dependency and Devina commented on the maintenance repair. That's another bucket where we've made a lot of progress. I think in Q4 we were flat to slightly down year-over-year in terms of whole dollars. So, that's part of what was helping us in Q4.
Devina A. Rankin: And then I'll just add a little bit of color that provide some clarity on a couple of the points that you brought up, Michael. One, with higher recycling commodity prices, the brokerage business can actually put downward pressure on margin. And so that's one of the things that we have built into our outlook for 2024. And then, in terms of wage inflation, we start at 4% with our folks. And so, wage inflation is still expected to be north of 4% when you take into account spot increases that we have to provide in certain markets to be responsive to various changes. So, 4% is kind of our baseline, and then you add on top of that.
Michael Hoffman: And your GDP assumption is pretty muted?
Devina A. Rankin: Yes. Basically, what we've always said is that we believe that our volume is about a 75% flow through from GDP. And so, we did have a fairly muted outlook with regard to GDP when we built our plan. I hope your crystal ball is better than mine, but I would tell you that our expectations for economic outlook continue to be that we need to be on the cautious side of things just because there's so much left in uncertainty, you saw that with today's print on CPI as an example, which exceeded expectations.
Michael Hoffman: Yes, I get that. It's just the consumer seems to keep plowing ahead. Switching gears a little bit, Tara, if your renewable natural gas or landfill gas is kind of a Swiss army knife of renewable fuel, when do the federal agencies wake up to this and say we get a proper interpretation of the ITC or the 45Q or Z credits or come back to e-RINs. What's your view of where that goes? And then the second piece is, what are you assuming happens out in the out years in that $1.5 billion of RNG spend, how much do you get back for credits?
Tara J. Hemmer: So, starting with the real positive, the one thing that the federal government did is, said a three-year RVO and having that for 2023 through 2025, you've seen clear stability in the program and so that's been a positive. With the ITC, we think when Treasury issued their guidance that there was a misinterpretation over what was in the Inflation Reduction Act and we don't just share this view, others do with us that are in the biogas community and generate landfill gas renewable energy from landfill gas. We've commented on that and we're anticipating that Treasury will come out with some further guidance later this year and so cautiously optimistic there. So, there's a whole host of credits that could be stacked. Obviously, the ITC was within our plan and we remain optimistic related to that and of course looking to 2025 with the production tax credit too.
Devina A. Rankin: On the ITC point, Michael, just so that we're crystal clear in terms of the implications of that on our 2024 guidance. We contemplated $120 million of ITC benefit in our free cash flow outlook for the year.
Michael Hoffman: Okay. And then some housekeeping if we could. I love the segment reporting as well. Are we going to get any kind of tons-in, tons-out so we can actually do a bottoms up forecast on sales for the renewable and processing segment, and then how about megawatts and MMBtus to be able to do the same thing on a sales growth for renewables?
Devina A. Rankin: So, we want to take a breath and celebrate, all of the incremental transparency we've provided. We're really proud of the work that the team did because, while it looks easy, it isn't. There's a whole lot of work that went into it. With regard to the more, I would say, operational driver elements of the reporting, we'll continue to evaluate whether or not there's anything that it's a strong complement to the financial measures and consider any additions in the years ahead. But right now, we're going to continue to execute on this strong reporting that we've been able to accomplish. And, we actually would like to see the industry follow suit in terms of providing additional visibility because we think it's beneficial.
Michael Hoffman: So in the K, one, when will it be recent? Two, will we get quarterly data for all of ‘22 and all of ‘23 and then three years of forecast so we can we build our models in this format?
Devina A. Rankin: So, the K will be released early today and we're in good shape for that. So, thank you to the team. With regard to the quarterly data, you'll get that over the course of the year. It'll have the full-year data. The quarterly recast will come quarter-by-quarter.
Michael Hoffman: Okay. Thank you.
Operator: Thank you. One moment for questions. Our next question comes from Stephanie Moore with Jefferies. You may proceed.
Stephanie Moore: Hi, good morning. Thank you.
Devina A. Rankin: Good morning.
Stephanie Moore: So, just kind of just looking at the 2024 guidance assumption, it looks like you're assuming RINs at about $3 which makes sense given where RINs are today, but digging into a little bit more, can you maybe talk about in terms of what contracts that you have already signed and kind of where you're able to lock in those prices going into the year? I think you said a sustainability day that you were looking to have 70% to 90% locked in any given 12-month period. So, any update on where that stands for 2024 to get to that $3 RIN? Thank you.
Tara J. Hemmer: Sure. So we have about two-thirds of our off-take locked in for 2024. And when we think about what's locked in, it is a mix of long-term contracts and also RINs that we purchased really sold on the forward side into 2024 which would have been at a higher rate than $3. So, on a blended basis, you sort of get a lower average there. And then the third that we would be selling in 2024 that's what's at the $3 RIN guide. The other thing I want to just mention is those longer term contracts that we have in place, there is a mix anywhere from five to 20 years, so we're really trying to take an approach where we have different tenors that we're locked in at.
Stephanie Moore: Got it. No, that's very helpful. And then maybe sticking on the sustainability front, you talked about some incremental investments included in your updated outlook and you noticed that that involves two projects in Canada. Can you talk a little bit about the opportunity? I'm assuming that those are probably related to EPR changes in Canada. If that is the correct assumption, maybe just what how EPR might change the margin or growth opportunity compared to maybe your more traditional U.S. recycling business, so how are you thinking about those incremental opportunities? Thanks.
Tara J. Hemmer: The two Canadian projects are related to extended producer responsibility and I think this is a great example where we were able to really showcase our automation investments and how differentiated our assets are really taking the pro to some of the facilities that we have across the United States. And so, that's a great example where we're able to win more business based on those investments. Extended producer responsibility in Canada and the structure that we have there, it really is around us using those assets as manufacturing plants and really it's a fee for service model. So, it's a great example of how we can leverage this technology differentiation for more business in the future.
Stephanie Moore: Understood. Thank you so much.
Operator: Thank you. One moment for questions. Our next question comes from John Mazzoni with Wells Fargo. You may proceed.
John Mazzoni: Thanks for taking my question. Maybe just a quick one in terms of the sustainability EBITDA timing. Is this just really kind of a knock on impact of some of the 2023 project delays, I think we noticed change to run rate versus kind of in ‘26, any color would be appreciated? Thank you.
Devina A. Rankin: So there's two key things that I would want everyone to bear in mind as you think about our trajectory. The first is in 2024, we're going to have roughly 40 projects under construction at any given time. So, that really gives you a sense of how we're building and we have a lot of momentum in the ramp. The second key piece is really exiting 2024, we're going to be approaching roughly $300 million in run rate EBITDA which gives you a sense of where we're headed on that ramp to the $800 million. So, what we're really seeing in 2024 is a true build of momentum on reaching that $800 million target.
James C. Fish: And John, those supply chain constraints are not that different from what we've seen on the fleet side of our business either. The good news is that as you heard, John Morris, talk about it, we started to see that free up a bit and so Tara seeing the same thing on the RNG and recycling side, but we definitely had some supply chain constraints that contributed to this bit of a slowdown over 2022 in particular, but also the front half of 2023.
John Mazzoni: Great color. Thank you.
Operator: Thank you. One moment for questions. Our next question comes from Tobey Sommer with Truist Securities. You may proceed.
Tobey Sommer: Thanks. Wanted to get your sense for acquisition expectations. So, how are the favorable trends in your business, which is a pretty long list of price, cost, yield, new investment production, etcetera, different than those at the smaller players with whom you have a dialogue for acquisitions.
James C. Fish: So, look, we said that our acquisition pipeline was robust. I think what you're seeing is that some of those, and I'm speaking just from this is somewhat anecdotal and speaking to some of those folks that we have acquired, is that, there's kind of a multitude of challenges for them, some of which we face and some of which we don't face. So, one that we might not face is a lack of a succession plan for some of these folks. Their kids have just decided they don't want to run the business. They'd rather go take the money and live in Italy. And so, that's not something we face fortunately, but they're also having challenges with labor. We're addressing that as you've heard today through automation and in some cases they are as well, in some cases they're not able to do that. So, there's a number of different reasons why there's a growing list of willing sellers. We're going to take advantage of that. But at the same time, we've invested heavily in these organic growth projects, and we want to make sure that we have similar returns before we go invest heavily in tuck-ins.
Tobey Sommer: Good to hear. I'm glad you're not going to go chase the [trust and sun] (ph). So, appreciate that. With respect to the fleet, after a full allotment last year, where are you in terms of being able to just renew the fleet at what might be considered a normal cadence? Do you still have some catch up to do?
James C. Fish: Yes. Tobey, we got about, we've delivered about 1,700 units this year, which was a little light of what we had planned for, but that would be really considered a full lot. And we probably have another 300 units on top of that to deliver. So, I would say that by the end of ‘24, we're fully caught up. What I would tell you is, team has done a really good job of not compromising the quality of our fleet had shown up in our service and it's really starting to show up in the back half of the year in terms of our operating performance and we see that continuing into ‘24, and certainly as we get the benefit of some additional vehicles.
Tobey Sommer: Thank you very much.
Operator: Thank you. One moment for questions. Our next question comes from Kevin Chiang with CIBC. You may proceed.
Kevin Chiang: Good morning. Thanks for taking my question. Maybe just a clarification on the updated sustainability investments and EBITDA profile as we look up to 2026, I think if I, if memory serves me correct, when you had the Sustainability Investor Day, I think you had about a 90% free cash flow conversion in 2026 from EBITDA into free cash flow. Is that still the rule of thumb we should be thinking about on the $800 million of EBITDA in 2026 in terms of the free cash flow potential from these investments?
Devina A. Rankin: We can specifically confirm that number for you. We didn't refresh that.
Kevin Chiang: Okay.
Devina A. Rankin: But the key takeaway for us there, whether it's 70% or 90%, and that's kind of the zip code that I think we should be thinking about. The free cash flow conversion in these businesses is stronger because, the maintenance capital is lower. And so, it is right to think about that being a really strong fundamental contributing factor to the long-term yield of this business.
Kevin Chiang: That makes a ton of sense. And just on the, I guess on the two facilities in Canada related to EPR, are these in Ontario? And just as you think of, I guess, EPR throughout the country as multiple provinces look to implement this, just what that pipeline of opportunity looks like from an EPR perspective and investing in more cycling facilities, I guess, coast-to-coast in Canada?
Tara J. Hemmer: You're exactly right. Those two are in Ontario and this is something that we're actively tracking throughout Canada and then of course looking at where there is pending legislation in the United States as well. There's obviously Colorado as an example, which is on the front and making sure that we're well-positioned to respond to the PROs when they eventually implement.
Kevin Chiang: Excellent. Thanks for taking my questions.
Operator: Thank you. One moment for questions. Our next question comes from James Schumm with TD Cowen. You may proceed.
James Schumm: Hey, good morning. Can you help me understand the monetization of the D-3 RINs credits? Is there a meaningful difference in price if you internalize or use the RNG in your own fleet versus selling it as a transportation fuel to someone else? And I know you'll reduce your fuel cost and emissions if you internalize the RNG, but just curious if there's a monetization benefit as well?
Tara J. Hemmer: The way to think about it and what is really unique about WM, is because we have our own fleet of compressed natural gas vehicles. We're in a very unique spot where we are able to close the loop. We produce renewable natural gas. We can allocate that renewable natural gas to our fleet to generate the RIN, so we don't have to give up any of our RIN value. That's probably the most significant advantage with WM as compared to others in the space. And that's how we monetize and create RINs ourselves versus others having to really tie it to someone else's fleet.
James Schumm: So Tara, just to clarify that, so when we see the D-3 RINs prices, I mean, I think some people have talked about, well, the actual monetization is a little bit lower than the price that I maybe see on the screen. Is that the case for you guys as well or no?
Tara J. Hemmer: No. I think --
James Schumm: Do you get that full value?
Tara J. Hemmer: I think we get the full value and the other thing to bear in mind is, you're looking at spot prices. And while we do play in the spot market, we also have been very actively looking at how we can forward sell and really look at selling our RINs six months out, a year out. So, there's a balance there.
James Schumm: Okay, great. Thank you. And then just lastly for me, I know that hazardous waste is a relatively small business for you, but I think you guys have a substantial market share of the hazardous landfills. The industry seems to be more profitable now and I was just hoping maybe you could help us quantify your business here and what's the outlook?
James C. Fish: Yes. I mean, we've been in hazardous waste space for quite some time and it continues to be a valuable component of our portfolio. And we've got coverage nationally. We've got assets on the East Coast and then obviously to the South East and on the West Coast as well. And, I would tell you, we continue to look for opportunities to grow that business. I think one of the benefits we have is, we've got a tremendous network of transportation assets that allows us to access a lot of the prominent markets, I think the Southeast, the Gulf Coast is one where we are very, very well-positioned, in terms of our hazardous waste presence.
James Schumm: Great. Thank you very much.
Operator: Thank you. One moment for questions. Our next question comes from Walter Spracklin with RBC Capital Markets. You may proceed.
Walter Spracklin: Yes, thanks very much. Good morning, everyone. So, I guess I'll start just on the price cost spread that you kind of alluded to in your opening remarks. You indicated that it improved and certainly that spread when costs were rising dramatically in 2022, it kind of contracted and then as costs moderated somewhat and your pricing held in, presumably it's been widening here in 2023 or back in 2023. My question for you is what your view is on the go-forward of that spread, is that something that you believe you can maintain at a higher level than it's been historically? Or is 2023 just bringing it back to where it was historically and that's likely where it's going to be going forward?
James C. Fish: Well, I think you've hit on the right focal point for us which is that price cost spread as opposed to just looking at price because obviously, in ‘22, price was higher. But as I said, we were really just combating this real high inflation in ‘22. ‘23 was as you said back to a point where the price cost spread starts to widen a bit. And so how much that widens is a little bit of a question mark. We don't know exactly where inflation goes. This morning's numbers were maybe a little disappointing to the market. But we feel good about the wage inflation. We feel like that is much more kind of something we have control of now, whereas two years ago, we really had less control over it. I think you'll see the price cost spread stay pretty close to where it's been in 2023. 2024 won't be a big change from that standpoint.
Walter Spracklin: Okay, perfect. And when, I know with your sustainability initiatives, it does introduce a little bit of commodity price variability in there. When you look at the midpoint of your EBITDA guidance for ‘24 and you look at the growth in the dollar value of that, about a quarter of that I think is from sustainability initiatives of that growth. And some of those as you mentioned are back-end weighted. Can you talk to us from a risk standpoint as it relates to two, first, when an investor asks you what about the volatility that commodity prices brings in? Can you remind us about, how you lock in price and give us some assurances there? And then the second part of the risk profile, how much of it is related to permitting or completion of construction projects that might get delayed through the course of the year, how do you feel about that risk component to its contribution in 2024?
Tara J. Hemmer: I can go ahead and take it in two parts and I'll speak to the commodity price piece first and then the timeline second. So, on the commodity price piece for recycling, I think one of the things that we've done really well is really change our model to be a fee-for-service model and we have 95% of our contracts through that, which is really insulated us a bit on the commodity side. And then on top of that, recall that a significant piece of the benefit is coming independent of commodity prices, really those labor cost improvements and also some price premiums that we get related to the automation benefit. On the renewable energy side, one of the things that we've been clear on is that we're going to work towards an 80-40-20 framework where 80% of our volume would be locked up within one year, and that would be something that we would be working towards in 2026. You heard me mention roughly a third of our off-take is already locked up. So, that gives us some confidence on the commodity price side. Related to projects, we've really been kicking this around, looking at our project timelines and making sure that we're within a strong and confident range for 2024. We have two large projects that are coming online in Q3 and so feel confident in our ability to hit the project timelines on both the recycling and renewable energy side.
Walter Spracklin: Okay, that's great. Really appreciate that color. Thank you.
Operator: Thank you. One moment for questions. Our next question comes from Toni Kaplan with Morgan Stanley. You may proceed.
Hilary Lee: Hi, this is Hilary Lee on for Toni Kaplan. Just wanted to ask on the sustainability EBITDA part, so if I recall correctly during the Sustainability Analyst Day, we were expecting around $600 million from RNG including the third-party e-RINs by 2026. So just wondering what is kind of that delta between the now [$510 million] (ph) versus the $600 million?
Tara J. Hemmer: I think you have to compare the $510 million to the $500 million, because the $500 million number was without the e-RINs and the third-party RNG projects. So, the best way to think about it is we've increased our target by $10 million for the renewable natural gas business.
Hilary Lee: Got it. Appreciate it. And just on for the recycling, the increase in the is that for essentially the two new projects in Canada?
Tara J. Hemmer: A portion of it is from the two new projects in Canada and then a mix of other benefits from our portfolio projects.
Hilary Lee: All right. Thank you.
Operator: Thank you. I would now like to turn the call back over to Jim Fish for any closing remarks.
James C. Fish: Okay. Well, thank you all for joining us. We're very proud of the quarter we had, very proud of the year, excited about what 2024 holds for us, and we look forward to talking to you next quarter. Thank you very much.
Operator: Thank you for your participation. You may now disconnect.